Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Geron Second Quarter 2020 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Suzanne Messere, Head of Investor Relations. Thank you.
Suzanne Messere: You may begin. Thank you, Dorothy, and good afternoon, everyone. Thank you for joining us for today's conference call. I am joined today by Dr. John Scarlett, Geron's Chairman and Chief Executive Officer; Olivia Bloom, the company's Chief Financial Officer; and Aleksandra Rizo, our Chief Medical Officer. After the market closed today, we announced our second quarter 2020 financial results and recent events via press release. It is available on our website under www.geron.com/investors. In addition, a live webcast of this call is available on our website and will be archived for 30 days. Before we begin, please note that this presentation and question-and-answer session will contain forward-looking statements relating to Geron's plans, expectations, time lines, beliefs, statements of potentiality and projection. These include, without limitation, those regarding the time lines for completion of enrollment of the ongoing Phase III Imerge and planned refractory MF clinical trials. The top line results from the ongoing Phase III Imerge trial and the results from the interim and final analyses from the planned Phase III refractory MF trial. Imetelstat has potential disease-modifying activity that Geron's existing financial resources will be sufficient to fund operations into the second half of 2022, that Geron's 2020 operating expense burn will be in the range of $70 million to $75 million. These and other forward-looking statements involve risks and uncertainties that can cause actual results to differ materially from those in such forward-looking statements. These risks and uncertainties include, without limitation, those regarding that the company may be unable to overcome all the clinical, safety, efficacy, technical, scientific, operational, manufacturing and regulatory challenges to enable expected time lines for Imerge and the planned refractory MF clinical trial, that regulatory authorities may not permit the further development of imetelstat on a timely basis or at all, that the COVID-19 pandemic may significantly impact the time lines for both the enrollment and the results of the clinical trials and/or drug supply as well as expectations of operating expenses, and that there may be unexpected operating expenses or events or changes in Geron's plan -- Geron's plans that cause either the $70 million to $75 million 2020 financial guidance to be revised or the existing financial resources to be insufficient to fund operations into the second half of 2022. Detailed information on the above risks and uncertainties and additional risks, uncertainties and factors that could cause actual results to differ materially from those in the forward-looking statements are explained under the heading Risk Factors, in Geron's quarterly report on Form 10-Q for the quarter ended June 30, 2020, filed with the SEC. Undue reliance should not be placed on forward-looking statements which speak only as of the date they are made and the facts and assumptions underlying the forward-looking statements may change. On today's call, Dr. Scarlett plans to make a few introductory comments. After which Ms. Bloom will cover the recent financing, second quarter financial results and 2020 guidance. Dr. Rizo will provide an update regarding the effects of the COVID-19 pandemic on the enrollment in our Phase III trial in lower-risk MDS and discuss key takeaways from the KOL event we hosted last month and cover other recently announced clinical development activities in MDS and MF. Dr. Scarlett will then finish the call with an EU regulatory update and closing remarks. I will now turn the call over to Dr. Scarlett, Geron's Chairman and CEO. Chip?
John Scarlett: Thanks, Suzanne. I'd like to welcome everyone to our second quarter 2020 conference call. Before we begin, I'd like to make a few comments on the COVID-19 pandemic and how we're managing it. In compliance with state and local rules and for the health and safety of our employees, we're restricting access to our offices. Our employees are continuing to work from home, and we are limiting business travel to essential business needs only. Despite these challenges, employee productivity and efficiency continues to be very high. Later in the call, Aleksandra will comment on the effect of COVID on our clinical activities. So during the second quarter, we achieved several significant milestones that have helped to establish a very positive trajectory for the company. First, after a successful meeting with the FDA, we announced plans to move forward with the Phase III clinical trial in refractory MF using a primary endpoint of overall survival. The OS data from Imbark suggest imetelstat treatment could potentially double the remaining life expectancy for patients who become refractory to JAK inhibitors, which today are the only approved therapies for intermediate 2 and high-risk MF patients. Second, maturing data from the Imerge Phase II trial in lower-risk MDS presented at EHA highlighted extraordinary durability of transfusion independence, including our first time reporting a 1-year transfusion independence for a significant number of patients. Also at EHA, we reported new analyses from the Imbark Phase II clinical trial in myelofibrosis that correlated the median overall survival observed with other clinical endpoints from the trial, such as improvement in fibrosis. Overall, the EHA data and analyses continue to support the potential disease-modifying activity of imetelstat treatment as evidenced by clinically meaningful durable transfusion independence in lower-risk MDS and improvement in overall survival in relapsed/refractory mount. A third major milestone was achieved when we completed our recent public offering, which netted approximately $140 million, giving us the financial resources to execute our current development plans and to potentially reach 2 significant value inflection points that are expected in the second half of 2022. Those are achieving top line results from the Imerge Phase III in MDS and completion of enrollment for the planned Phase III in refractory MF. This financing also brought onboard a number of very well-respected biotech specialists and investors including Eco R 1 capital, great point partners, Nea, RA Capital Management and Samsara Biocapital. We believe their investment shows a strong affirmation of both imetelstat and Geron. So I'd like to hand the call over to Olivia to discuss what the financing means for our cash position as well as the second quarter financial results. Olivia?
Olivia Bloom: Thank you, Chip, and good afternoon, everyone. As of June 30, 2020, we had approximately $265 million in cash, cash equivalents and current and noncurrent marketable securities. Our cash position reflects net proceeds of approximately $140 million from a public offering of securities in the second quarter. Based on current planning assumptions, we expect such funds to be sufficient for our operations into the second half of 2022. And as Chip just mentioned, this is when we expect to have top line results for the Imerge Phase III clinical trial in lower-risk MDS and completion of patient enrollment for the planned Phase III clinical trial in refractory MF. Overall, the financial results for the second quarter and year-to-date periods were in line with our expectations. Operating expense for the 3 and 6 months ended June 30, 2020, were generally higher in comparison to the same period in 2019 due to headcount increases in 2019 across the company, increased activity for the Imerge Phase III trial in lower-risk MDS and new costs associated with validating the imetelstat manufacturing process with our contract manufacturers. We expect operating expenses to be higher in the second half of 2020 in comparison to the first half as we begin to support 2 Phase III clinical trials of imetelstat. The ongoing Imerge Phase III trial and the planned Phase III trial in refractory MF. Regarding financial guidance for 2020, we are reiterating our expectation of operating expense burn to range from $70 million to $75 million. This guidance reflects cash conservation measures implemented in April due to the COVID-19 mic such as suspending travel and postponing a planned imetelstat proof-of-concept study. It also includes new costs for start-up activity associated with the planned Phase III trial in refractory MF and additional costs for the expansion of clinical fights for the Imerge Phase III trial. Financial guidance is based on a set of assumptions at a point in time. And if the company's plans change, causing assumptions to be revised, then we expect to update guidance at that time. With that, I will now turn the call over to Aleksandra to discuss our recent KOL event and to provide an update on our Phase III clinical development activities. Aleksandra?
Aleksandra Rizo: Thanks, Olivia, and good afternoon, everyone. Before I describe the key outcomes from our Carol event, I'd like to give a brief update on the enrollment status in the Imerge Phase III trial in lower-risk MDS. As of the end of July 2020, approximately 93% of the 90 clinical sites originally planned for the trial were open for screening and enrollment compared to 68% reported in May. The momentum of patient enrollment has begun to improve as the effects of the COVID-19 pandemic begin to wane in majority of the countries we emerge clinical sites are located. We continue to expect patient enrollment to be completed by the end of the first quarter of 2021 subject to potential future delays or interruptions associated with COVID-19. Under current enrollment assumptions, we continue to expect top line Imerge results to be available in the second half of 2022. To reach our achievements of these goals, we are expanding the trial from 90 to approximately 130 clinical sites, and we expect the majority of the 14 new sites to be open for enrollment by the end of the year. Next, I will highlight key takeaways from the very successful KOL event we had hosted in June, where 3 key opinion leaders reprised the total of 4 presentations from BCR EHA Annual Congress. First, Dr. Valeria Santini, associate professor of hematology at the University of Florence, presented more mature data from 38 patients in the Imerge Phase II trial in lower-risk MDS. As previously reported, the patients in this trial had a very high median transfusion of 8 units per 8 weeks at baseline and 16 of 38 patients or 42% and achieved at least an 8-week period of transfusion independence. The most important observation reported withing more mature data set with longer durability of transfusion dependence, including 11 of 38 patients or 29% being transfusion free for more than 1 year and a median duration of transfusion dependents of 20 months. Transfusion independence with search durability and translated, especially given the high baseline transfusion, which indicates disease-modifying activity metastatic. Furthermore, similar TI and HIE rates were observed in both positive and negative patient subscripts. These Imerge Phase II data have been well received by the hemalignancy medical community, and we believe they will generate even more enthusiasm about our ongoing Imerge Phase III trial as well as favorably impact patient enrollment. Our second presenter was Dr. John Mascarenas, associate professor of medicine and director of the adult leukemia program at [indiscernible]. Dr. Mascarenas reviewed very exciting new analysis from the Imbark trial in relapsed/refractory MF patients, which, as expected, show that imetelstat achieved dose and exposure dependent reductions of all of the previously known pharmacodynamic markers of telomerase inhibition, such as telomerase activity, [indiscernible] length and expression of hTERT, confirming the on-target mechanism of action of imetelstat. Furthermore, this was supported by analysis, indicating better clinical outcomes in patients with shorter telomeres or higher telomerase activity levels, and as previously established, these patients are more amenable to a telomerase inhibitor compared to patients with longer telomerase and lower telomerase activity. In addition, other analysis presented by [indiscernible] showed improvement in overall survival that was now correlated with clinical benefits after imetelstat treatment, most notably with improvement in bone marrow fibrosis. Significant dose-dependent reductions in JAK 2, Cala and bipolar burden were also reported. Taken together, this new analysis highlight that the observed improvement of fibrosis, reduction in [indiscernible] and the improvement in median OS indicate potential disease-modifying activity of imetelstat by targeting the underlying malignant myofibrosis [indiscernible]. The third key opinion leader at our event, Dr. Rami Komrokji, vice chair the malignant hematology department at the Moffit Cancer Center [indiscernible] new analysis of the clinical outcomes from imetelstat treatment in triple-negative myelofibrosis patients in Imbark. MS patients who do not have the JAK 2, CALR and mutations are called triple-negative and represent 10% to 15% of the myelofibrosis population. This type of patient is associated with shorter survival compared to patients carrying these limitations. The inbound data presented by Dr. [indiscernible] showed an improved overall survival of 35.9 months in patients with triple-negative myofibrosis compared to 24.6 months for non triple-negative patients. True and symptom response rates were also higher for the triple-negative patients compared to the non triple-negative ones. Finally, the triple-negative patients enrolled in the study had short length and high telomerase expression levels at baseline. These patients with poor outcome to current treatment options represent a suitable patient population for imetelstat and such patients will be eligible to enroll in our planned Phase III trial in refractory myelofibrosis. To summarize, these analyses further support our planned Phase III clinical trial in JAK inhibitor refractory MF, which will be led by 2 principal investigators. Dr. John Maskerine from Mount Sinai and Dr. Serge Verstovsek from MD Anderson Cancer Center. We're honored to have them onboard as collaborators. The planned Phase III study is global, randomized, open-label trial in approximately 320 patients with intermediate 2 or high-risk MF, who are refractory to JAK inhibitor. The study will compare imetelstat treatment to best available therapy, such as hydroxyurea and danazol, while excluding JAK inhibitors. We expect to reach over 150 sites across North America, South America, Europe and Asia. Start-up activities are ongoing, such as identifying potential clinical sites for participation as well as finalizing the protocol and obtaining clearance from institutional review board or ethics committee and regulatory authorities. We plan to open the trial for screening the enrollment by the end of the first quarter of 2021. The trial is designed to have a final analysis for overall survival after more than 50% of the patients planned to be enrolled have died. An interim analysis of overall survival is planned to be conducted up to approximately 70% of the total projected number of death events for the final analysis have occurred. If the prespecified, statistically significant difference in OS between the 2 treatment arms is met at the interim analysis, we expect such data could support a registration file. Our current expectations for this study are to complete patient enrollment in the second half of 2022, to conduct the interim analysis in the first half of 2023, and final analysis in the first half of 2024. However, as you know, both the interim and final analysis are event driven and could occur at different times than currently projected. If this planned Phase III trial in refractory manis successful, we believe imetelstat will be the first drug to demonstrate a survival benefit in this poor prognosis, high unmet need MF patient population. Now I'd like to hand the call back to Chip. Chip?
John Scarlett: Thanks, Aleksandra. I'd like to end with a late-breaking positive milestone that was recently reached. At the end of July, the European Commission formally granted orphan drug designation for imetelstat in MDS in the European Union. Imetelstat has already been granted orphan drug designation by the FDA as a potential treatment for MDS. So both of these designations provide for potential market exclusivity. In the case of the EU orphan drug designation that allows for potential market exclusivity of 10 years from the date of first approval in the orphan indication, making this latest designation a very welcome milestone to achieve. So in closing today, I'd like to comment that Geron is a fundamentally different company than we were a year ago. We have data to show that very meaningful clinical activity and indications where there is significant unmet need. We have an ongoing Phase III trial in lower-risk MDS and a planned Phase III trial in refractory MF, for which we expect to begin screening and enrollment activities by the end of the first quarter of 2021, and we have the financial resources to reach significant value inflection points. We believe these achievements, along with our experienced development team, have strategically positioned Geron to become a leader in the treatment of hematologic myeloid malignancies over the next several years. So with that, we'd now be happy to answer questions. I'll turn the call back over to our operator.
Operator: [Operator Instructions]. Our first question comes from the line of Gil Blum with Needham & Company.
Gil Blum: Congratulations on all the progress. So maybe a quick one on the -- for the additional sites that were added to the MDS study. I'm assuming the COVID spread was maybe a criteria here, if you can comment on this.
Aleksandra Rizo: So I can take that question. Yes. Absolutely, it was the COVID moment covenant that, well, actually made us change the guidance and you might remember that enrollment will be completed by the end of the first quarter 2021. And just to make sure that we meet the goal in front of us, we decided to go ahead and open additional sites for the study.
Gil Blum: Right. Another question I have is about the validation process you discussed with CMOs. Is the company looking at the production at this site with an ion commercial production and also to support the 2 pivotal studies that are ongoing?
John Scarlett: Yes, Gil, this is Chip. I'll take that. Absolutely. We are involved in putting together a complete validation program for the commercial scale process. And of course, materials made in that validation program, which will include final validation runs, et cetera, will also be used for clinical trial activities as well. But the primary purpose is really to validate the commercial process.
Gil Blum: Great. And kind of a last 1 on the myelofibrosis pivotal. As Aleksandra mentioned previously, there were some really interesting data at EHA showing and different responses from different genetic makeup population. Is there any look prospectively into, let's say, triple-negative patients?
Aleksandra Rizo: I can take that question, Gil. Yes. We, of course, as you indicate, plan to enroll our -- the patients -- triple-negative patients will be involved as well in the refractory myelofibrosis study. And we have planned or we are planning to conduct a subgroup analysis on this patient population as well as other relevant population. So absolutely, we'll be looking into this.
Operator: Our next question comes from the line of Ellen [ph] with Stifel.
Unidentified Analyst: This is Ellen Sands [ph] on for Steve Willey. So maybe just the first 1 is just a follow-up related to the increase in trial sites for the MDS study. Are these trial sites mostly U.S. based? Are they international or both?
Aleksandra Rizo: They are distributed globally. So we are looking to -- the new 40 sites will be across and internationally.
Unidentified Analyst: Okay. Great. And then can you maybe just remind us what the key differences are in the patient populations between the population that was enrolled in the Phase II Imbark study versus the patient population you'll be looking at for the Phase III study in relapsed MF? I know they're quite similar, but just any of those key differences would be helpful.
Aleksandra Rizo: Well, the patients in both of our MF studies are similar and are defined as being nonresponsive JAK inhibitor. There are technical differences in the eligibility criteria between the 2 studies, but fundamentally, all these patients are not responsive to a JAK inhibitor. And as you might know, I mean, 50% of the patients will discontinue, for example, RAGs after 3 years. 75 will be discontinued after 5 years. So eventually, all patients that discontinued treatment with a JAK inhibitor will become eligible for treatment with imetelstat. On our new study, and they were the same ones that were eligible for treatment with imetelstat Atessa on the Imbark study.
Unidentified Analyst: Okay. Got it. Just very technical differences in eligibility criteria. Maybe just 1 last question about the Phase III relapsed MF study. So there's a number of other assets in development for relapsed MF. And I know patients are required to have seen a prior JAK inhibitor. Are patients allowed to have participated in a previous clinical trial for an investigational product that is not a JAK inhibitor? Or is that prohibited from enrollment?
Aleksandra Rizo: As long as the patient had ease refractory to a JAK inhibitor, that patient is allowed on the clinical trials irrespective of other prior treatments.
Operator: Our next question comes from the line of Andrew D'Silva with B. Riley.
Andrew D'Silva: Congrats on the progress. I'm sorry if you answered any of these. I was jumping between calls here. So I was just going through my notes, and not to delve too deep with already discussed topics, but I'm just trying to get a sense of how you see things playing out here given how encouraging the data has been. So I know low-risk is the overwhelming majority of MDS patients, and RS positive is around 10% of total MDS patients. But like what percent of low-risk MDS patients have 5G syndrome and/or refractory to ESAs but are also RS positive. And then I have just a follow-up question to that.
Aleksandra Rizo: Okay. I just have to clarify something. It's actually only 5% of the patients that are del 5 Q positive and approximately 70% of the patients are RS positive, which is why our -- I think that's important to -- sorry, the other way. So it's 5% of the patients that are del 5 Q positive for our study, right -- let me start again. Our study is enrolling non Del 5 Q positive patients. I just wanted to clarify that. Also, our study and our current efficacy data shows that we are able to induce transfusion independence as well as HIEs in both RS positive and RS negative patients. So I would ask you to repeat the question. What was exactly that you were asking us?
Andrew D'Silva: I was just trying to get a sense of RS positive patient breakout within your specific patient population criteria. I know it's a small percent of the overall population for MDS, but what part of the population is it in your specific low-risk population that you're targeting for your Phase III trial?
Aleksandra Rizo: We are going to enroll patients irrespective of the RS status. I think that's the key to understand, right? So we -- it doesn't matter whether your Rs positive or RS negative. You can be enrolled on the imetelstat Phase III study.
John Scarlett: Olivia, I think you had a comment.
Olivia Bloom: I think, Andy, I think your question is from what percentage of low-risk MDS patients are RS positive.
Andrew D'Silva: Correct. Also within your specific criteria for enrollment.
Olivia Bloom: Well, I think that's what Aleksandra was trying to say is that there is no criteria to exclude or include based upon RS positive or negativity because we're allowing both to come in. So whether your RF positive or RS negative, you're allowed to come into -- you're eligible for our trial, which if you're trying to contract potentially to other trials or other agents, which is true, so for example, the most recent drug that was approved in low-risk MDS, was [indiscernible]. Their trial was focused solely on RS positive patients.
Andrew D'Silva: Right. So really, the thing I was trying to get at was, even though they have received approval, you did have amazing transfusion independence and HIE relative to them when you look back at the Phase II data that you presented recently. I was just trying to figure out, did you really think that it will be a hindrance in you being able to enroll RS positive patients because the RS positive population in the Phase II study actually did, I think, better. And so just the data that came out would lead me to think that you'd still be able to enroll a pretty hefty amount of RS positive patients.
John Scarlett: Right. Let me take that, Andy. So I think our view is that the RS positive patients make up a minority but nevertheless, an important minority of patients who are -- who have low risk MDS. As we've said numerous times now, we are not inhibited in enrolling either RS positive or RS negative patients. With regard to the availability of patients for the clinical trial, I think that we are very likely to see a distribution of patients, plenty of whom will have RS positivity because we seem to have a better profile than some other products in high transfusion burden patients. And so I think because of that, it's very likely that some investigators will choose to put even RS positive patients who are obviously indicated to be treated with, for example, Reblozyl, I think that they will preferentially put some of those patients with very high transfusion burden into the imetelstat trial. So I think we're not anticipating a major issue in that regard.
Andrew D'Silva: Okay. That's great to hear. Perfect. And just my last question, as it relates to the 40 new sites. Since these are all post-COVID sites that are coming up, could you let me know what kind of differences are taking place as far as discussions or what they need to happen before they feel comfortable actually joining the trial?
John Scarlett: I'm not sure Aleksandra's suffering a little bit from IT challenges post hurricane. She's on the East Coast. Aleks, are you back online there?
Aleksandra Rizo: Yes, I'm here. Can you hear me?
John Scarlett: Okay. Great. So did you hear Andy's question?
Aleksandra Rizo: I did. I did. I mean the new sites that we are adding on the study, we're really approaching them with the new data that we have, showing the durability and the high transfusion dependence rate. So honestly, I don't think that there is any additional requirement. As I said, the new data has generated enthusiasm across the [indiscernible] community. And we've added the sites, and we are expecting most of them, if not all, to be open for clinical enrollment by the end of the year.
Operator: [Operator Instructions]. Your next question comes from the line of Tom Shrader with BTIG.
Thomas Shrader: Just one question. At each KOL event, John Mascarenhas invariably goes on and on about how high your burden is for JAK failure and it makes patients hard to enroll. Given you've got OS as an endpoint and JAK inhibitors have a very modest OS benefit. Do you think you can relax that partly relevant to the previous question about how many things there are competing for MF patients now? Just your thoughts, does OS free you up a little bit there?
Aleksandra Rizo: Yes. I can take that. I mean I don't know, it's interesting way to put the question, Tom. I don't believe we are experiencing did or we will be experiencing difficulties based on the street criteria. Just 1 point to remember is that when the Imbark study started, was 5 years ago, there were no studies in relapsed/refractory patients. It was kind of really paving the way for this definition of relapsed/refractory patients, which has been evolving over time. I believe that nowadays, the MS community, the MS treating community is used to these criteria. They understand that is needed for conduct of a trial. And therefore, I don't think that would cause difficulties in enrollment. In addition to that, as you say, I mean overall survival is the golden endpoint or the golden outcome that everybody would expect from clinical trials. So that certainly creates enthusiasm, and we believe will be driving interest and enrollment on the study. I don't know, chip, if you have anything to add to this.
John Scarlett: Yes. Actually, I do. Just sort of a technical nature, Tom. I think that the field is moving in the direction that we're leading in here. I think that the -- if you think about it, we're really requiring a certain number of months of ruxolitinib treatment, and then we require at least 2 months out of that to be at stably dosed rux levels in order to make sure that patients have had an adequate trial of a JAK inhibitor. And if they then meet the criteria for being refractory than they are qualified for the study. I see this in some other protocols as well that are coming out, probably because it's a relatively small KOL group that promulgates a very tight inclusion criteria and exclusion criteria for these types of studies. So I don't think we're really at a disadvantage there. I think we will be at a big advantage when it comes time to looking at the data because I think we'll have patients who really did get into the study only if they were truly refractory, and that's -- that will obviously tend to heighten the difference as we hope between active treatment and BAT treatment. So I don't think if I got your question or not.
Thomas Shrader: Yes. No, no, absolutely.
Operator: There are no further questions at this time. I will now turn the call back over to Dr. Scarlett.
John Scarlett: Well, I'd like to thank once again all of our covering analysts, their colleagues and their banks. And I'd also like to thank our recent investors in the company. We appreciate very deeply the show of support and enthusiasm, as mentioned before and our very, very hard-working community of investigators, study site coordinators and, of course, our own internal employees. COVID is a challenge, but interestingly, I think we're finding ways around many of these issues, and we feel good, as commented on more directly in the previous comments about going forward. So I'd like to thank everybody for that effort and thank everybody for joining the call today. I think we'll wing off with that. Thanks. Bye-bye.
Operator: Thank you, ladies and gentlemen. That does conclude today's conference call. You may now disconnect.